Operator: Good afternoon. My name is Kiana and I will be your conference operator today. At this time, I’d like to welcome everyone to the Aviat Networks' Fiscal 2018 First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I'd now like to turn the conference over to Glenn Wiener, Investor Relations. Sir, you may begin.
Glenn Wiener: Thank you and welcome you -- and welcome to Aviat Networks' fiscal 2018 first quarter results conference call. We filed our Form 10-Q, issued our press release and posted an updated investor presentation on our Web site and all documents can be found in the Investor Relations section. Today we will have prepared remarks from Michael Pangia, President and Chief Executive Officer; and Ralph Marimon, our Chief Financial Officer. Shaun McFall, Senior Vice President and Chief Marketing and Strategy Officer is also with us today and all will be available for questions and answers. During today's call, management may make forward-looking statements regarding Aviat's business, including but not limited to statements relating to projections of earnings and revenue, business drivers, the timing and capabilities of new products, network expansion by mobile and private network operators, and economic activity in different regions. These and other forward-looking statements involve assumptions, risks and uncertainties that could cause actual results to differ materially from those statements. Please note, these forward-looking statements reflect the company's opinions only as of the date of this call, and the company undertakes no obligation to revise or publicly release the results of any revision of these forward-looking statements in light of new information or future events. In addition, during today's call, management will be referencing both GAAP and non-GAAP financial measures. Please refer to our press release and financial tables, which include a GAAP to non-GAAP reconciliation and other supplemental financial information. Our call today is being broadcast live over the internet and the webcast will be archived on the Investor Relations page of our Web site for those who are unable to join us. I like to thank you all for your interest and support of Aviat. And with that, I will now turn the call over to our CEO, Michael Pangia. Mike?
Michael Pangia: Thank you, Glenn. We continued to be pleased with our bottom-line performance. In Q1, we posted positive adjusted EBITDA of $900,000, which came in at the high-end of the guidance we provided last quarter and which also represents a $1.5 million improvement over last year's fiscal Q1 loss. We also generated $4.9 million in cash from operations and finished the quarter with $39.1 million in cash and cash equivalents, which represents a $7.4 million increase year-over-year. Our non-GAAP gross margin rate of 30.8% also came in towards the high-end of our guidance and was up 90 basis points year-over-year. And non-GAAP operating expenses of $17.6 million were lower than anticipated as we continue to manage expenses prudently. Our first quarter revenue of $56.2 million was just under our guidance. However, we remain on track to see sequential top line growth beginning in the current quarter. A major multimillion dollar upgrade award from an existing U.S. State government customer originally expected in Q1 was received a few days after the quarter ended. So while our Q1 book-to-bill was below 1, our year-to-date bookings and orders outlook for the rest of fiscal year support our view of improving top line performance. Our revenue over the past few quarters has been hovering in the mid to upper $50 million range. But going forward, we believe we will start seeing revenue in excess of $60 million per quarter and should be in an even better position to drive profitability. I will get to that when I review our outlook, but first I'd like to provide a few comments related to our business. Let's start with Private Networks. This segment of our business continues to drive much of our optimism and our pipeline is growing. Today our radio products are installed in over 800 state and local accounts and over 100 utilities, and we continue to drive new business both within and beyond our installed client base. Public safety remains our strongest market. Opportunities with state, local, and city governments are building as investments continued towards improving first responder communications, especially with the increasing number of tragic events highlighting our daily news. Events such as Hurricane Harvey, Irma and Maria and active shooter scenarios which have been devastating, these events have increased the attention of ensuring network operability and government agencies continue to assess vulnerabilities in their networks to ensure systems are always live, can withstand such natural disasters and are able to communicate in real time. Additionally, the demand for such interoperability enables us to leverage our installed base and extend our reach into new accounts. We also see new opportunities in state and local markets outside of public safety, such as education, which are opening up based on interest in our WTM 4000 technology. We are very confident that we can defend and expand our market leading position in the space driven by our product portfolio, which is optimized for mission critical applications, our established customer relationships built on years of experience and our deep breadth of services capabilities. Within private networks our utility segment also remains in a very strong position and we are seeing increased activity within our installed base and across transportation vertical in particular. Another trend within the private net -- within private networks is the integration of transmission technologies across networks. Due to the growing capacity across urban and rural networks, customers are looking to [co-deploy] [ph] microwave and fiber. This is very much in the infancy stage, but we are starting to see an increased need for systems to interoperate and work together for end-to-end service delivery. We're building partnerships that will enable us to take advantage of this trend as the market evolves. Within the service provider mobile operator segment and in North America, our incumbent position with key customers remain strong. We’ve recently seen an increase in bookings activity for one of our larger customers serving areas of the U.S that have been impacted by natural disasters. And I stated in our last call, we’ve made changes to our sales organization and our go-to-market strategy increased our service provider addressable market. Internationally there continues to be several encouraging signs. Leveraging our new platform of radio products as a catalyst, we are intensifying our efforts on this front and have added more resources in the pursuit of new customer opportunities in both the service provider and private network segments. Looking closer at the regional level. Within Africa, during Q1, we continue to receive orders from MTN, our largest customer. Demand for our CTR routers is building and we’re investing in support of their LTE rollout. We had a number of new awards in various product shipments in Q1 and there are other opportunities we're working specifically for MPLS deployments. Given some of the recent activity in Africa and what we envisioned over the next 2 to 3 years as carriers work to upgrade their networks, we’ve recently brought on board a new executive to lead our efforts with MTN and our other customers in the region. We recently attended AfricaCom, the largest tradeshow in the region, and we’ve had tremendous -- we had a tremendous turnout and very positive reception from both clients and prospects, particularly around our new 4K offering. In Europe, we're working with the Tier 1 operator, one of our historical customers whom we recently reengaged with to become their vendor of choice in the trunking area. This customer is also currently trialing our SGN solutions as we look to expand into other areas of their business. Europe is starting to pick up for us. And in Asia, we're working with another Tier 1 operator supporting the network update, utilizing the 4K platform. This customer also has network spanning across the Caribbean and Central America regions and we have already received initial purchase orders for the WTM 4000 with future trunking opportunities on the horizon. These are just a few examples. We're not standing still, we're making the changes in our business that will maximize our footprint, expand our reach, strengthen our partnerships and of course we continue to invest in R&D and service capabilities to differentiate us from the competition. I’m going to turn the call over to Ralph Marimon, our CFO to cover our financial results, and then we will have a few closing comments with respect to our outlook and the status of our strategic process. Ralph?
Ralph Marimon: Thanks, Mike, and good afternoon to everyone on today's call. Our Q1 revenue of $56.2 million was down $2 million versus last year's first quarter and was roughly in line with Q4 2017. North America revenue increased by $2.4 million or 8.5% and this was primarily the result of the completion of various private network projects, and an increase in shipments to our mobile operator customers. Internationally revenues were down $4.4 million or approximately 15% as anticipated. Product and service revenue comprised approximately 62% and 38% respectively of revenue in the first quarter as compared to 60% and 40% in last year's first quarter. Both GAAP and non-GAAP gross margins were 30.8% in Q1, up 190 basis points year-over-year respectively. Driving the improvements was primarily geographic mix and more efficient management of our supply chain costs. Non-GAAP operating expenses were $17.6 million in Q1, a reduction of $2.1 million or 11% on a year-over-year basis. The year-over-year reduction was primarily driven by lower headcount and professional service expenses in our G&A function. As expected, we incurred a modest non-GAAP operating loss of $265,000, which represents a $2 million improvement versus Q1 last year. Adjusted EBITDA was a positive $900,000, a $1.5 million improvement versus last year's loss in the comparable quarter. As for balance sheet, our cash balance at the end of Q1 stood at $39.1 million, which is up $3.4 million compared to Q4 2017 and up $7.4 million year-over-year. The sequential and year-over-year increase was primarily due to our much improved bottom line performance and overall strong collections. In addition, Q1, 2018 benefited from a $1.3 million tax recovery from the Singapore Tax Authorities. Cash provided by operating activities was $4.9 million in the first quarter compared to $3.3 million in the first quarter last year. Q1 was also up $8.9 million sequentially when comparing cash usage of $4 million in Q4 of fiscal 2017. Our DSOs were 71 days, a 3-day improvement sequentially and a 7-day improvement compared to Q1 last year. Our inventory remains at historically low levels and our overall cash conversion cycle is the best in the company's history. I’m going to turn the call back over to Mike now for his closing remarks and we can address any questions you might have thereafter.
Michael Pangia: Thanks, Ralph. As I said earlier, our focus remains on profitability and cash generation, but we believe we will begin to see improvements on the top line. With respect to the second quarter, we anticipate revenue between $60 million and $63 million, up sequentially reversing the trend of recent quarters. Non-GAAP gross margin should increase over Q1 levels and are expected to be in the range of 31.5% to 33%. Non-GAAP operating expenses, while below $18 million in Q1, should track between $18 million and $18.5 million with modest pressure due to the strengthening of some foreign currencies where we had exposure. We feel confident that in Q2 we report -- we will report profitability on a non-GAAP operating income basis in both the top and bottom line improvement sequentially. For the full fiscal year, we previously guided to revenue of $245 million to $260 million, with the higher end of the range largely dependent on some new international business. With Q1 results and in Q2 future expectations unveiled, we're lowering the high-end of the range by $5 million, but bookings other financial metrics and our bottom line outlook remains unchanged. Non-GAAP gross margins are still anticipated to be between 31.5% and 32.5% and non-GAAP operating expenses are still expected to be between $72 million to $75 million. With that said, we are continuously looking to bring fixed costs down further, while still enhancing our product development and selling efforts and our goal is to be towards the low to mid point of the spending range. The improvements we made to enhance processes and strengthen our foundations gives us confidence to successfully manage expenses based on revenue expectations. Thus we're still anticipating operating income between $5 million to $7 million and positive adjusted EBITDA of approximately $11 million to $13 million. We also expect to end the year with positive cash from operations and our higher -- and a higher cash position, further strengthening our balance sheet. Last quarter when we provided an update around the strategic process, we said we were making progress. We narrowed down the options and that we were in the latter stages -- or the later stages. During the quarter, progress continued and we are getting closer. Operator, we will now open-up the call for questions.
Operator: [Operator Instructions] And the first question comes from the line of Mark Spiegel.
Unidentified Analyst: Yes. Hi. Thank you. Two questions. One is, I’m a little concerned about the political situation in South Africa, and wondering how much exposure you have there. I mean, if things really get bad, rand crashes etcetera. Can you comment on that a little bit?
Michael Pangia: Yes. I mean, we don't feel like we're exposed in South Africa and to the extent that there are issues in South Africa, the impact in our business would probably not be material enough on the bottom line for it to have much of an effect.
Unidentified Analyst: So, I mean, I was under the impression a significant percentage of revenue came from there. You're saying it no longer does?
Michael Pangia: MTN, our largest customer is based -- headquarter in South Africa, but they have operations across the entire continent and we're not overly dependent, let's say, on any particular geography within that segment.
Unidentified Analyst: Okay. And the second question is sort of a bigger …
Michael Pangia: And we don’t see any -- we're not concerned about the issues that you’re raising. Thank you.
Unidentified Analyst: Okay. All right. And second question is sort of bigger picture question. Can you comment on sort of where you fit in with the move to 5G?
Michael Pangia: Yes. Shaun, go ahead.
Shaun McFall: Hi, Mark. It’s Shaun McFall here. Yes, we -- 5G is still, we think, some ways off, a lot of early stage positioning in terms of the technology. But we do expect that wireless technologies are going to play a major role in the transport applications of future networks. The capacities required are really only going to be suitable for transport over either fiber or radio systems like the ones [Indiscernible] whether they’re microwave or millimeter wave based. So we do see that eventually there will be some significant demand coming from 5G.
Unidentified Analyst: In other words you’ve got -- your systems have enough bandwidth to work properly with these ultrafast 5G speeds?
Shaun McFall: Yes. And the evolution of our technology, one key element of it, is to continue to increase that transport capacity -- capability.
Unidentified Analyst: Okay. Thank you very much.
Shaun McFall: You’re welcome.
Operator: [Operator Instructions] At this time, we have no audio questions.
Michael Pangia: Okay. Thank you operator. I appreciate everybody's time today. Look forward to speaking to everybody soon. Thank you again.
Operator: Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.